Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Enerpac Tool Group's Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded June 29, 2021. It is now my pleasure to turn the conference over to Bobbi Belstner, Senior Director of Investor Relations and Strategy. Thank you. Ms. Belstner, please go ahead.
Bobbi Belstner: Thank you, Operator. Good morning, and thank you for joining us for Enerpac Tool Group's third quarter Fiscal '21 earnings conference call. On the call today to present the company's results are Randy Baker, President and Chief Executive Officer; Rick Dillon, Chief Financial Officer; and Jeff Schmaling, Chief Operating Officer. Also with us are Barb Bolens, Chief Strategy Officer; Fab Rasetti, General Counsel; and Bryan Johnson, Chief Accounting Officer. Our earnings release and slide presentation for today's call are available on our website at enerpactoolgroup.com in the Investors section. We are also recording this call and will archive it on our website. During today's call, we will reference non-GAAP measures such as adjusted profit margins and adjusted earnings. You can find a reconciliation of non-GAAP to GAAP measures in the schedules to this morning's release. We also would like to remind you that we will be making statements in today's call and presentation that are not historical facts and are considered forward-looking statements. We are making those statements pursuant to the Safe Harbor provisions of federal securities law. Please see our SEC filings for the risks and other factors that may cause actual results to differ materially from forecasts, anticipated results or other forward-looking statements. Consistent with how we've conducted prior calls, we ask that you follow our 1 question, 1 follow-up practice in order to keep today's call to an hour and also allow us to address questions from as many participants as possible. Thank you in advance for your cooperation. Now, I will turn the call over to Randy.
Randy Baker: Thanks, Bobbi, and good morning, everybody. We are going to start over on Slide 3 today. Enerpac's third quarter developed largely as we expected. As we discussed last quarter, we could see that all our global markets were showing signs of recovery and returning to normal scenario. Before I go through the details on the quarter, I would like to provide some insights into how we performed and what lies ahead for Enerpac. First of all, I can't say enough for the commitment from all of our employees worldwide to maintain a high level of service and quality our customers demand, especially our production and service employees, which have stayed on the job throughout the pandemic and we're able to work safely and continue to deliver our products. We'll cover the regional details later on in the call. But clearly, most of the world has returned to normal with a few hotspots in the Middle East and Southeast Asia. Financial results met our expectations in the quarter and further supported our long-term objectives in sales growth, margin expansion, and cash. These factors have given us the confidence to reinvigorate our view of new product development as well as potential acquisitions to expand the Enerpac product line. New product launches in the quarter have delivered outstanding results and helped capture the attention of our distributors and drive additional sales growth. And lastly, we've spoken in length about our commitment to the environment, social, and governance objectives of Enerpac, and I'm proud of the team's effort to improve in all areas. Over the coming quarters, you'll see additional commitments to environmental sustainability, which will help significantly lower our production and office facilities’ need for external power sources. Let's flip over to Slide 4. As you can see from the chart, the third quarter experienced sequential and significant sales growth which firmly placed us back within our normal operating bandwidth. We exited the quarter with monthly sales in the normal range with EBITDA margin closing in on our 20% target. We believe this trend will continue through the balance of the year and absent any major resurgence in the virus activity or supply chain constraints. Let's move over to Slide 5. As I mentioned earlier, the third quarter met our financial expectations. Core sales grew by 36%, comprised 40% up on products and 23% on service. Jeff is going to cover the regions later on, but I'm very pleased with the broad expansion and sales across many vertical markets. EBITDA margins expanded significantly in the quarter, and we're on track to achieving our 20% sustainable level. Incremental margins reflected the strength of the Enerpac product line and exceeded our target of 35% to 45%. This was a direct result of our cost control activities which ensured our outstanding margins were reflected in earnings. As a result, EPS grew significantly in the quarter as well as free cash flow. Regionally, two areas were firmly back in double-digit growth range led by the Americas and Europe, with slower growth rates in Asia Pacific and the Middle East. Overall, we're very pleased with the results in the quarter, and the progression towards our strategic goals in growth and profitability. Enerpac is now well-positioned to accelerate our growth strategy, which we outlined prior to the start of the pandemic and deliver superior shareholder returns. I'm going to turn the call over to Jeff and Rick now to go through the details on the quarter, and then I'm going to come back with some market outlooks and guidance for the remainder of fiscal 2021. Jeff, over to you.
Jeff Schmaling: Thanks, Randy. It's great to be talking to you about a quarter largely full of positives and not just one about recovering from the effects of the pandemic, but also about our return to growth and to our strategy. Starting off with some regional comments. As Randy mentioned, we're really pleased to report all of our regions were in positive territory for the quarter compared to fiscal '20. Given the impact we saw from COVID last year, I guess it doesn't surprise me, but even more gratifying is that the order rates in this quarter exceeded those from our Q3 2019 levels as well. To remind you all, Q3 2019 was a high watermark for Enerpac, so we take this as another solid indicator we are back in growth mode. Moving on to Slide 6 to dive into some more details on the regions, both the Americas and Europe experienced significant year-over-year core growth and momentum continued to build as we progress through the quarter. In the Americas, we saw improvement across all of our sub regions and end markets, and our dealer confidence continues to improve both with general distribution and our national partners. The region delivered nearly 40% year-over-year core sales growth, which counters the mid 30 decline we saw this time last year. The recovery this quarter was due entirely to improved product sales. While service has been a bit slower to recover to date, strengthening oil prices and delayed maintenance spending are resulting in more quoting activity which we do believe will generate orders here in the fourth as well as drive some pickup in our dry rental business. Dealer stocking orders continue to return to normalized levels and retail sell-through improved throughout the quarter as evidenced by our lower drop ship rates. We saw a nice uptick in orders from national distribution as well as our OEM partners, which again, we take as a signal of demand recovery. As I mentioned, we saw broad based improvement across most geographies in the Americas as well as most verticals but continued to see strength particularly from our wind, nuclear, and general construction customers. In Latin America, they also delivered a solid quarter driven by the strength in copper and iron ore mining as well as from projects in power gen, and all this comes despite continued COVID-related challenges throughout the region. Moving on to Europe, which is our best performing sales region, posted nearly a 70% year-over-year core growth and nearly 10% improvement against 2019. Again, despite continued travel restrictions in many countries, our dealers covering multiple verticals like wind, infrastructure, and general torque intention had a very good quarter, and both general and specialty distribution showed strength. We anticipate these verticals will continue to be positive throughout the remainder of the fiscal year due to continued government spending on infrastructure improvements as well as emphasis on clean energy. Globally, we had a nice quarter in our heavy lift business but especially in Europe as we delivered several key projects late in the quarter. I'm pleased to see our Asia Pacific region delivered nearly 20% year-over-year core sales growth, despite continued challenges with ongoing COVID-related restrictions and lockdowns, and this was particularly in Southeast Asia. We continue to track these countries closely and work with our distribution to stay engaged with customers as they slowly returned to in-person customer visits. Mining continues to be a bright spot in the region by favorable iron ore pricing, and power gen and infrastructure continued to be positive as well. And we have begun to see progress within oil and gas in Australia, in particular, with increased porting to support some of the large maintenance projects coming back online. Overall, we are pleased with what we're seeing in China and Australia, but we'll continue to use caution as we forecast recovery in Southeast Asia until we see sustained improvement in vaccinations and the relaxation of the travel restrictions still imposed there. Moving on to Slide 7 and turning to our MENAC region, we're glad to return to year-over-year growth in total revenue, again headlined by very strong growth in our product sales. We continue to make good progress diversifying our product penetration beyond oil and gas, and we picked up some nice wins in mining and infrastructure. Another really positive note was many of our dealers are starting to take on some inventory after several months of drawdown, which again indicates to us that some of the delayed projects are going to start coming back online later in our Q4 and on into Q1 of '22. On the service side in MENAC, COVID related border lockdowns and restrictions still present significant challenges in this part of the world. Service work remain volatile that as we exited the quarter we're seeing signs of projects are starting to come back online despite several being pushed out of Q3. As I've talked about for the last few quarters, the travel restrictions for our workers coming out of India, Nepal and other areas has been a continuing challenge, but we are leveraging the crews we do have already in country to pick up work and get started on some of the delayed projects that still remain in our backlog. Switching from the regions to new products, I continue to be really pleased with our efforts around new product development. And Q3 delivered the seventh consecutive quarter of new product vitality in excess of our 10% target as we launched four new product families including some additional battery powered hand tools, some torque calibration tools and the launch of our new RC TRIO cylinder line. Our operations and supply chain team again navigated a very challenging quarter as volume is returning, and we deal with the tightening supply chain and logistic constraints. I'm pleased that our on-time delivery remain strong throughout the quarter despite these issues, but it remains an ongoing challenge here on the fourth. Utilization improved along with the returning volumes and our quality remained on target. The tightening labor situation continues to be a headwind, but was not really a major factor in the quarter. We are however looking at our wage structure at our key facilities to try to stay ahead of any competitive pressures and help backfill the open positions with best -- the best candidates we can find. Reiterating my comments from last quarter, the inventory bets we made earlier in the year paid off in Q3 and now into Q4, and we're continuing this approach by working closely with our key suppliers to ensure we continue to have the right mix of components and finished product to support our improving outlook. We did take a price increase in May and June as I talked about on the last call, which was aimed at neutralizing the known impacts from commodities and freight, which we think should see us through Q4. That being said, it's clear these headwinds are as well as increasing labor costs will be with us on into fiscal '22. So we're preparing now for additional pricing actions early in the new fiscal year. We're also looking at actions specific to freight in the form of potential surcharges that we could launch regionally here in Q4 as needed if we see that we're not fully covered from the recent price actions I discussed. To finish up here with a few comments around Cortland, the business experienced core growth of 8% year-over-year in the third quarter compared to a 21% decline in the second. As it relates to the industrial side of the business, we are encouraged by the uptick in order rates, which is consistent with the overall increase in marine and general industrial activity. We're entering the fourth quarter with a pretty healthy backlog, but many others -- like many others we're faced with labor challenges to meet this increasing demand. As for the medical portion of the business, we exited the quarter with volumes returning to pre-COVID levels on the running business. We've also seen new product development execution speed up as our customers' engineering teams start to return to their offices and labs. With that, I'll turn the call over to Rick for the financials. But I want to reiterate Randy's comment, my thanks to our team around the world who continue to perform exceptionally well delivering on our commitments to our customers in the face of numerous challenges this quarter. Thanks and Rick, over to you.
Ricky Dillon: Thanks, Jeff, and good morning, everyone. I'm going to start on Slide 8 with a recap of the results. Fiscal 2021 third quarter sales increased 19% when compared to the second quarter, and 41% when compared to the third quarter of the prior year, which was the trough of the pandemic for us. Core tool product sales were up 44%, a significant improvement from down 10% in the second quarter and service was up 23% compared to down 12% in the second quarter. Cortland sales were up 8% versus down 21% in the second quarter. The adjusted EBITDA margin for the quarter was 17%, and that's up from 10% reported in the second quarter and 6.5% recorded in the prior year. The adjusted tax rate for the quarter was 3%, and that's up from the negative 7% reported in the prior year. We still expect our full year adjusted effective tax rate to be approximately 20%. Moving on to Slide 9 and the sales waterfalls. I'll just make a few additional comments here given Jeff's discussion of regional performance. We had a $4 million favorable impact from foreign currency with the continued weakening of the dollar. That's a slight increase from the second quarter, but it is consistent with our expectation of continued tailwinds in the back half of the year. Our third quarter results marked the fourth consecutive quarter of sequential improvement continuing our break from normal seasonality. We expect this to continue in the fourth quarter. As a reminder, Q3 is historically our strongest seasonal quarter followed by Q4. So moving on to our adjusted EBITDA waterfall on Slide 10. This time last year we implemented several temporary cost savings actions in response to COVID that yielded $12 million in savings. These actions are behind us and the return of product volume is having the impact we expected on both EBITDA margin and dollars with a 61% flow through on the year-over-year product volume improvement. The increased volume is also driving $3 million in favorable manufacturing variances this quarter versus a negative $1 million in the second quarter. We saw improved labor productivity and fixed cost absorption as our facilities scaled up to normal run rates. So let's move forward to Slide 11. As Jeff mentioned, the bets we made on purchasing inventory in anticipation of back half demand increases have all paid off, allowing us to minimize the impact of commodities and material pricing while meeting customer delivery expectations in our third quarter. Steel and aluminum pricing has remained at all-time highs with steel prices continuing to accelerate rapidly. We are seeing supplier price increase requests in all regions, in all categories, but remain in active discussions with our suppliers to minimize or mitigate these requests and the impact on our results. We have continued our approach to expanding lead times placing the appropriate POs with suppliers to secure inventory in line with anticipated demand. Our targeted pricing actions largely effective June 1, will offset approximately $2 million in material and labor cost inflation in the fourth quarter. We believe surging demand and resulting shortages will ultimately keep costs high for the foreseeable future. As Jeff noted, we are actively planning additional targeted pricing actions early in our fiscal 2022. Freight cost and availability also remain a challenge with cost shooting up -- back up as we headed into our fourth quarter. Results have been fluctuating wildly in recent weeks and months. If rates continue to climb, we may need to move into a surcharge scenario within the next month or so. So clearly, we're in a very dynamic environment and we are taking the necessary steps to manage through an unsettled and evolving supply chain. We are leveraging our supplier relationships, bringing on second suppliers in some cases and third suppliers to navigate through capacity constraints and allegations. We have qualified alternative materials and components to address shortages and ensure that we meet demand without sacrificing quality. As noted earlier, we have been respectful of the new and ever expanding lead times and put our sales and operations planning into overdrive. Actions like these and the seamless coordination with our internal teams have allowed us to execute with minimal disruptions as we navigate through what is a very challenging environment. We are pleased with the outcomes and the work we've done thus far. And we'll continue our efforts seizing opportunities to drive sustainable solutions where possible. As noted earlier, our EBITDA margin for the quarter was 17%, leveraging a leaner cost structure. We saw the margin expand as our product sales grew during the quarter reporting margins in excess of 20% for the month of May. Our incremental margin for the quarter was 47%. Our structural cost moves clearly paying off and we will continuously look for structural and operating efficiencies going forward. As illustrated by our results, product sales and that's the recovery to pre-pandemic levels and continued core growth beyond that is the biggest driver of EBITDA margin expansion in the future. So turning now to liquidity on Slide 12. We generated just over $35 million in free cash flow during the quarter. This includes proceeds from the sale of a manufacturing facility in China as part of our efforts to right size our manufacturing footprint post sale of EC&S. The facility was occupied by our Enerpac business and the divested EC&S business through the Transition Services Agreement. From a working capital perspective, a $17 million increase in receivables during the quarter due to timing was partially offset by increased payables. Our inventories increased only $2 million, striking a balance between increasing demand and working capital and supply chain management. As we look to the fourth quarter, we will continue to monitor inventory levels, but do anticipate increased levels in the fourth quarter in conjunction with the increased demand and the expanding lead times we just discussed. We ended the quarter with $136 million in cash and net debt of $59 million. This is a comparison to a net debt of $123 million in the third quarter of 2020 as we anniversary the pandemic. Our leverage is at 1.1. That's down from 2.1 at the end of the second quarter and 1.8 in the prior year. We remain pleased with where we sit from a cash and liquidity perspective. Our leverage will continue to improve as we continue to show sequential growth. This should position us well as we look to continue our strategy execution and disciplined capital allocation. With that, Randy, I'll turn the call back to you.
Randy Baker: Thanks, Rick. So let's flip over to Slide 13. As we think about the remainder of fiscal 2021, we've assessed the probability for continued growth as well as the potential market headwinds in the form of cost and supply chain constraints. These factors have been well publicized by many reporting companies and we believe our actions to mitigate the impact have been successful thus far. As we discussed in our second quarter, we expect Enerpac to continue sequential growth for the balance of the fiscal year, which is not typical for Enerpac. Additionally, product orders continue to grow. In June, we're up 35% versus 2020 and 10% versus 2019. Secondly, we believe our incremental margins remain -- expectations for incremental margins remain valid at between 35% and 45%, which support -- which are supported by cost actions and margin protection activities. Now the industrial growth expectations further supports sustained recovery through remainder of the year, enabling Enerpac to exit fiscal 2021 with normalized sales levels. Let's turn over to Slide 14. For the remainder of fiscal 2021, we expect sales to continue to grow which has facilitated the increase of our second half guide range for between $290 million and $295 million. Core sales growth for products is projected to be in the low 30% range and service is projected to grow at the high 40% level. Cortland will also experience normalized growth rates in the low to high 20% range. We expect that our incremental EBITDA margins to continue to be at the high-end of our stated 35% to 45% range, excluding the impact of currency. And our assumptions for fiscal 2021 have not changed and are consistent with prior quarters. Now the road to recovery just hasn't been easy, but we believe we're now coming back to normal and are well-positioned to execute our strategy. As Rick reviewed, our margins have continued to accelerate and in the month of May we exceeded a 20% EBITDA. Our financial leverage continues to strengthen which gives Enerpac the flexibility to execute our capital allocation strategy. Our long range vision as shown on page -- on the last page of today's presentation is fully aligned with today's results, and we see great progress towards our growth, increase in profitability and consistent cash conversion, and ultimately best-in-class returns to our shareholders. Lastly, I'm very proud of the performance of all the Enerpac employees globally, which have endured the past year, improving the strength and quality of our company. Operator, that concludes today's prepared remarks. Let's open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question is coming from Jeff Hammond of KeyBanc Capital Markets. Please go ahead.
David Tarantino: Hey, good morning. This is David Tarantino on for Jeff.
Randy Baker: Good morning.
David Tarantino: Maybe to start out, could you dig a little bit more into what you've seen from service momentum and trends in oil and gas markets more broadly. These two seem to be the laggards and could gain more momentum moving forward.
Jeff Schmaling: Yes, good morning, David. This is Jeff. I guess maybe just a couple of regional comments. Our MENAC region, which is certainly our largest service region, really continued to struggle with lockdowns and COVID restrictions, as I talked about. And it's really -- it wasn't so much the lack of work, but it was the lack of ability to get our folks where we needed to get them. We do see that slowly coming back. And as I talked about last quarter, we've got a pretty strong backlog of work. We just got to get started on it. So -- that certainly in the Gulf as we think about the Americas, that services, again then slow to recover, right. I think there's a pent-up demand that we're starting to see quoting activity here on the fourth. So, we're ready to go in both those regions. And we do see as Randy's or Rick's outlook for service growth in the fourth quarter compared to last fourth quarter, we do see pretty strong growth for us in our forecast for the fourth as that work starts to come back. So, it's just a question of being ready to go and having the people to do it. So ...
David Tarantino: And then just as a quick follow-up, you kind of touched a bit on this in the prepared remarks, but most of our companies are seeing demand that outpaced the ability to ramp production and restock inventories. So, how would you characterize inventories and restocking efforts to date?
Randy Baker: Well, as you saw from what Rick said, we've increased inventory strategically to make sure that we could cover our top products, and we've been running a very robust supply chain operations meeting or the classic sales order meeting for well over a year now that I think has helped us anticipate these increases and has enabled us to get through it without any major disruption. So, we know that is never going to go away. There's always a potential for an impact. But when you make, I think smart bets on inventory, you can definitely mitigate most of it and then make sure that your sales volume is maximized in the quarter and that you don't constrain a distributor that starts searching elsewhere for compatible products.
David Tarantino: Great. Thank you.
Operator: Thank you. Our next question is coming from Ann Duignan of JPMorgan. Please go ahead.
Ann Duignan: Yes, can we go back to the last question, I think maybe misinterpreted that or maybe I misinterpreted it, but can you talk more about channel inventories and when they stand up your ability to increase inventories. So where would you see -- where do you think both OEM inventories lie and dealer distributors inventories are at this point?
Jeff Schmaling: Yes. Hey, good morning, Ann. It's Jeff. We've seen a nice pickup in what I’d call a return to more normal dealer stocking orders. I mentioned our -- again, another quarter of declining drop ship rates as well as increasing dealer stocking orders. So that means to us that the sell-through is happening, but the dealers are ordering the right stuff. OEMs, in particular, I will make one additional comment about our OEM business. We have seen, I would say an uptick from some of our major OEMs that use our components in their finished goods. They're clearly starting to treat us a bit like just another supplier in the global supply – in the global tightening supply chain, and we did see a couple of our OEMs, I would say, place larger bets, I assume and we assume because they're a little concerned about future constraints on supply chain. So that was nice to see. Of course, a lot of those orders are with phased releases over the coming quarters. So -- but it's good to get the orders in our backlog so that we can do our planning appropriately. But, yes, both Americas I mentioned, MENAC, I mean, stocking orders coming out of distributors in MENAC have been few and far between over several quarters, and we did see some nice uptick in those Europe and the Americas, again nice stocking activities. So, no question we're challenged. We're -- we've got some challenges in our supply chain, but it's nice to have the distribution partners stepping up and doing their part, so our availability to our customers stays pretty high, which it did throughout the quarter so.
Ann Duignan: Yes, that's -- again, that wasn't the question. The question is, do you think that the dealers and distributors now have adequate inventory? Are they still replenishing?
Randy Baker: So, Ann, I think what a lot of us have seen in past is that, and you can see it in the channel check reports that are going on right now that certain types of products are simply stocking out, which means the dealers are reporting in availability to supply retail demand. What Jeff mentioned is that we haven't had that instant yet for Enerpac. Our ability to ship out of our facilities is still quite high. We have an OTD rate, which is still very, very good. We track our past dues at a high level so that we know exactly if that is climbing or shrinking, and that's still in good shape. And quite honestly, our dealer counsels will speak to us loudly if they're trying to get retail orders, and we're saying well, we will talk to you in 6 months. So, I think in our case, the channel has healthy inventory that's moving through. They're not experiencing stock outs that are either resulting in them going someplace else, like we see in a lot other products and you read about it that there just isn't availability of certain products in dealer channels of all types, and that hasn't been the case for Enerpac. I hope that answers your question more clearly.
Ann Duignan: Yes, that gives me a good sense of your inventory that the dealers are more normalized, so there isn't huge pent-up demand there. That's what I think we are all trying to get at. And then on the cost side, can you talk about -- I think you said -- I want to make sure I got this right, the price increases you put through effective mostly June 1 will give you $2 million of offset in Q4, but I think you had said last quarter that fuel prices back then could drive increased costs of $200 million to $600 million on an annualized basis. So, how do we reconcile the $2 million on a quarter that’s far away shy of $200 million to $600 million in annualized higher steel prices? Can you just talk about what we should expect in fiscal '22?
Ricky Dillon: Sure. The $200 million to $600 million was back half, it wasn't on an annual basis. And we also talked about aluminum increases, I didn't give $1 amount there, but 3% to 6% on aluminum. And we also -- last quarter talked about air freight at that time being 2x normal levels. So, our overall cost increases that, and some labor, those are what we put in place along with some other known or anticipated cost challenges, things like plastic. Those are the actions we put in place to -- the $2 million is designed to offset that $200 million to $600,000, I think I said million $1,000 of steel, and we feel good about those. That was what we knew at the time. And as we talked about we've got certain negotiated pricing with the steel suppliers that get us through Q3, and we believe will cover us through Q4, that's true of aluminum as well. So, we feel good about that $2 million getting us through Q4. As I noted, freight cost is continuing to accelerate. Steel is continuing to accelerate. That's what points to either surcharge or additional pricing here, early 2022.
Ann Duignan: And you'd expect those additional price increases and surcharges to fully offset the anticipated costs in FY '22?
Ricky Dillon: At this point, again, we're going to do what we did in Q -- early Q3, we're going to put in the pricing to offset kind of known costs or our estimate of the impact here in early 2022. As we said before, if we fall short there, we're demonstrating that we have the ability to go and do incremental pricing as necessary.
Ann Duignan: Okay. Thank you very much. Sorry to take it on. Appreciate the color.
Operator: Thank you. Our next question is coming from Deane Dray of RBC Capital Markets. Please go ahead.
Dean Dray: Thank you. Good morning, everyone.
Randy Baker: Good morning, Dean.
Jeff Schmaling: Good morning.
Dean Dray: Hey, we just stay on this topic, if we could just a couple other data points would be helpful. I really appreciate all the color you provided so far on the raw material costs and calling out freight just real curious if freight is trending higher, why would you -- why are you hesitating on putting through the surcharges. I just think you've got enough cover here to do it and you can always roll them back when you need to, but why the hesitation?
Jeff Schmaling: There's no real hesitation. As I mentioned before, we did do pricing and part of that pricing did pick up some of the anticipated freight. We have gone through and we anticipated some of that from a cost perspective as we came into the year and in our back half guidance. If freight gets out of the range that we had in there, then we'll do the surcharge for sure. The thing about freight is it's gone up, it's come down, it's gone up. And right now it appears to be on a steady climb, but even that it's settling a little bit. And so we're really just watching it closely. And if we get to a point where we think this thing has settled up and climbing, then we will go to a surcharge. And you're right we can do that. It's not -- didn't mean to put it in terms of hesitating to do it. We'll do it if we need to cover the cost.
Dean Dray: That -- that's real helpful. And then if you could expand on the point on labor shortages, we're hearing this everywhere and for you it sounded more of a wage pressure. But -- do you have unfilled positions, you having trouble getting workers for the factories. And separate question, any pull in from the -- for the fourth quarter? Do you think when you announced the price in effect for June, did you get any benefit of pull in as customers trying to avoid that next price increase round?
Ricky Dillon: I'll start with the pull in comment. We don't -- typically, we don't see and didn't see a significant impact of "pulling in". I think you've got a combination of things going on here. You've got the demand associated with recovery. And people needing to get that inventory, but also being cautious about it, watching demand. And so I think you just saw that pull-through that you'd normally see in a rising demand and a pricing environment. We don't believe that our pricing drove a tremendous amount of pull forward that’s going to impact us in Q4. To Jeff's point, our distributors are getting their orders in there. They're staggering the delivery dates, but they're giving us the early read because of the demand situation, because of the supply chain situation and that they're entering and it's impacting not just us. So we feel good about that. That's a good fact from our distributors, but don't believe and are not seeing this massive pull ahead of orders that would impact kind of the sequential growth that we're talking about. On the labor …
Randy Baker: Dean, on the labor side that’s primarily a North America phenomenon. There's no question that we've got some open positions for a variety of reasons. There had -- we are seeing some wage pressures. And the good news is it has pretty, pretty easy to do your market comps and make the adjustments where you have to which we have done in Q3 here. But, yes, it's definitely some shortages out there, getting the right people in the door is really our focus. And as long as we're paying competitive wages, we've taken those actions. So we made some progress as late as last week in getting some open heads filled. But we still got a little ways to go. But again, it did not really impact our ability to deliver in the quarter, and we don't see it as a strong negative to our fourth quarter either.
Dean Dray: Good. Just last question for me. There's been a couple iterations of the infrastructure bill, but every time on both iterations, we've seen call outs about bridge -- repair bridge building, and I immediately think of Enerpac, and how that's typically a really good opportunity for you. Do you have line of sight on the proverbial shovel ready projects related to what looks to be the most promising infrastructure bill related initiatives?
Jeff Schmaling: So typically what you're going to see once that bill is released, then there'll be prioritization by states of their normal DOT priorities. And from that how -- are typical our distributors will have a line of sight to what bridges or facilities need to be worked on, particularly for suspension bridges and for [indiscernible] that have to be lifted off. There's a lot of cylinder work when you're putting in new developments. So I think once it's signed, you're probably going to see a couple of months delay before the actual DOT bids are left. And so definitely the infrastructure bill, late in our fiscal year, it's going to be a '22 impact, probably late '22 before you'll see significant amount of lifting equipment and torque tension equipment getting sold. So it was -- either way it's very good for us. But there's also a lot of going on right now.
Randy Baker: And you know, the knock on effect is not just the actual work being done, but the folks that are actually doing the work, the major construction companies and equipment manufacturers, equipment rental houses, a lot of our tools are used on the maintenance and upkeep of those heavy excavation, bulldozers, excavators, things like that. So that's really the second line of offence for us as well, and our dealers really participate a lot in those sales as well.
Dean Dray: Thank you.
Randy Baker: Thanks, Dean.
Jeff Schmaling: Thanks, Dean.
Operator: Thank you. Our next question is coming from Brendan Popson of CJS Securities. Please go ahead.
Brendan Popson: Good morning. Great results. I want to ask first on Europe. You talked about last quarter some challenges with the infrastructure and bridgework. Numbers were great this quarter. So it seems like a lot of that cleared up, but is there still any headwinds there in Europe? Or is it all pretty normal now compared to where we sat last quarter?
Jeff Schmaling: Actually -- Brendan, it's Jeff. Actually infrastructure has been a fairly solid story in Europe for the last several quarters. So I'm not exactly sure if we talked about headwinds there, but yes, again, strong quarter. The bridge work, civil construction has really been a nice story in Q3 and we don't see that letting up.
Brendan Popson: Great. And then just looking at your long-term goals, exiting the year pre-pandemic levels, and that would indicate your adjusted EBITDA approaching 21%, 22% after your cost optimizations you done, but that'd be some pretty -- very strong incrementals. And, of course, you have these increased costs going on presently. So I guess, netting all of these factors, is that kind of structural margin still possible at pre-pandemic levels with this price action that you're doing? And could you kind of help us net all of these things that are going on and where you see that structural margin going?
Jeff Schmaling: I think it's -- one of the things that's really important that we saw in the month of May, that we went through the 20% margin level. And that was a nice milestone because that -- the month of May, although good sales, we are basically where we should be in any given core month. So when we think about going forward, and the things that we talked about on our margin progression, we have very high confidence that the 20% level is sustainable. And that the incremental margins as we typically talk to the 35% to 45% are going to be an ongoing factor for the business because we do have very, very strong underlying gross margin and gross profit. Now that the costs are aligned with the size of the business, and we're getting good productivity out of our facilities, that margin is going to flow through. So all of those factors make our long range strategy in terms of margin expansion, not aspirational, but highly probable. And we think that as we talk to our fourth quarter outlook, that we will still be at the very high-end of our incremental range, which implies that we're going to be at the high-end of what we exited this quarter, and arguably knocking on that 20% level. So I think I'm very confident in it. It's -- the business is certainly back on its feet to where we were pre-pandemic. So, now -- our management team is now highly focused on how do we continue to grow and execute the strategy. And that's an important element. Now we are able to -- hello.
Brendan Popson: Great. Thank you.
Ricky Dillon: I'll add -- just add a couple of other comments to that. The -- when you talk about pre-pandemic just to be clear, we're talking about pre-pandemic sales levels. Prior to the pandemic where we will dial back fiscal '19, we were well below 20% from an EBITDA margin perspective. As you saw throughout '20, we've been delivering incremental margins outside the top end of our range for what was our normalized incremental margin range. As we continue to grow here and we continue to increase that mix of product just like you saw in the quarter, you should be thinking about this as continued delivering strong incremental margins that incremental product growth will drive those margins to be certainly at the top end, if not better than as you're seeing right now. And that's really part of how you get to that plus 20% and beyond. And to Randy's point where we're confident that we're seeing the sales levels that were pre-pandemic. And obviously, we're confident in our ability to continue to grow those per the strategic plan.
Brendan Popson: Great. Thank you. I will just quickly follow-up on my first question. I exactly misread my notes, the delays, infrastructure bridge delays were in the U.S. So if you could just follow-up on anything there with the infrastructure work?
Randy Baker: Yes. Okay. Thanks. Thanks for that clarification. Yes, we're starting to see some of that break loose. We talked about the infrastructure bill, but just more than anything, it's just folks getting out and getting back to work and certainly the release of COVID restrictions and things like that is helping. And we did see a nice pickup in general construction as well as -- as some of the infrastructure stuff here in Q3. So we see that continuing to get back on its feet.
Brendan Popson: Thank you guys very much.
Randy Baker: Thanks, Brendan.
Jeff Schmaling: Thanks.
Operator: [Operator Instructions] Our next question is coming from Justin Bergner of G. Research. Please go ahead.
Justin Bergner: Good morning, Randy, Rick, Jeff, and the rest of the team.
Ricky Dillon: Good morning.
Randy Baker: Good morning.
Bobbi Belstner: Good morning.
Justin Bergner: Had sort of a three part question. So you mentioned that in the fourth quarter on-time delivery could be challenged. Is that mainly a function of freight uncertainty? And then, I guess the second part of the question, is the revenue range for the fourth quarter, is that more tied to supply chain issues and is to demand from your vantage point? And then, I guess the third part of the question is given that you've been able to deliver at least so far to your customers and distributors, do you see yourselves as gaining share because you were able to meet demand where some of your competitors are not. Thank you for taking the various parts.
Jeff Schmaling: Maybe I'll start with the freight question. I don't see any particular constraints from our capacity point of view. Certainly, freight has been a bit of a wild card, delays and we're getting everything, we're ordering sometimes a container or two shows up late, which means we have to scramble out of one of our plants to assemble and get the stuff back out the door. But, generally speaking, yes, that is the variable in the quarter. We're making certain assumptions around order rates going through the quarter, which we see as strong in June. We don't see any reason to believe they're not going to continue to be strong for the rest of the quarter. We came into the quarter with a fairly healthy backlog, which we like and we're working hard to get that out the door. But, yes, a little bit of delay in a container or something coming out of another part of the world causes us to scramble, but it's not going to be particularly catastrophic. We don't think in the quarter.
Randy Baker: So Jeff touched on the Q4 revenue outlook and reason why I made mention to the June inbound order results is they're positive. And we've tried to give some clarity into that on prior quarters, because when we are reporting our earnings, essentially as we wrap up June, we have pretty good line of sight to what occurred. And 35% up versus 2020, that's a good number. And 10% up versus '19 is even more encouraging number because in '19 that was a decent quarter. And so the order certainly support continued revenue growth, and which gave us the confidence that the $290 million to $295 million level was the right thing to do to reflect it. Number one, sequentially, our typical Q3 being the strongest quarter, it's probably not going to occur this year. It means that sequentially we're continuing to strengthen and we'll exit the year in a pretty good shape. So we tried to give you enough clarity in terms of guiding out for the full year of the $290 million, $295 million number. To give you further clarity that our inbound orders are better than '20 and also better than '19. And we expect the typical sequential effect of Enerpac to be a little not being the normal, which is that Q3 is stronger than Q4. So we've given you some data points to help guide you towards where we think we'll land for our fourth quarter and setting the stage for 2022.
Jeff Schmaling: And maybe I'll follow-up on your share question. So many of the things that we sell, it's a little difficult to give you an exact share. But I will tell you anecdotally, we're hearing from some of our customers and distributors that some of our competitors are having a hard time delivering on-time delivering all the products in their line. And the fact that we think that we're doing a better job there, I would -- the optimist in me says that we are picking up share. Again, little hard to measure that, but what we're hearing from the marketplace is that we're doing well on delivering on our commitments, and there's some folks out there that aren't so. That's about as granular as I can give you on that question.
Justin Bergner: Okay. Thank you for taking that multipart question. Appreciate it.
Jeff Schmaling: Yes. Thanks, Justin.
Ricky Dillon: Thanks.
Operator: Thank you. Our last question today is coming from Michael McGinn of Wells Fargo. Please go ahead with your question.
Michael McGinn: Thanks. Can you walk through the timing and rationale of the China facility closure with demand ramping, lead times extending? And maybe what's -- what other actions like this are left similar to China facility closure, the Cortland facility consolidation?
Ricky Dillon: We put out there that we were continuing to look for footprint rationalization. So even in the midst of rising demand, we obviously wouldn't take capacity out. But we do want to make sure we have the most efficient footprint that we can have. It's on our margin walk that we would deliver savings from that. And so clearly we believe there's opportunity. This was one step where we had a facility that was a large facility in China. We had both businesses operating in it and we still had incremental capacity. With the split off of EC&S, we don't need that footprint in China. And so, we sold the building as a part of exiting EC&S. And we have other facilities in China and we're leasing a small piece of the building, probably less than a third of the facility for our ongoing work, and ultimately we'll make the determination, that's where we stay long-term. But we're left with less than a third of a footprint there. And we don't have the building as ownership because we were not in a situation where we need the capacity or we'll ever need that capacity in China. So it's a -- all of what you see from a facility and footprint rationalization, all of those are planned, all of those are moves that we have indicated our structural cost moves that we need to make to hit our strategic objectives.
Michael McGinn: Got it. Understood. And then can you walk me through the tax rate? It just looks like tax is payable on your balance sheet, double sequentially. Your EBITDA was up for 4x sequentially. Just walk me through the mechanics of that and what your normalized tax rate on a long-term basis is?
Ricky Dillon: Sure. We -- first, the latter question. We said for modeling purposes use 20% to 25% for taxes. We had historically -- we moved 20 reform [ph] put us in that range for now. So that hasn't changed with what we've been talking about. Our tax rate is usually lumpy. It's just based on: a, the seasonality of our business. First half being the lowest half, back half being the strongest half. In this quarter, we had a couple of things going on. One being the release of some valuation reserves, if you will, or reserves associated with uncertain tax positions that went through an audit. And we released those non-GAAP [indiscernible]. And then also the jurisdictions of our earnings, and so you -- and we had a favorable tax law change here in the quarter. All of that anticipated in our overall rate. That's why you haven't seen us move the expectations for 2021 at all. It's just you will, as -- you look at us, you're going to see a lumpy rate throughout the -- on a quarter-by-quarter basis, and we seek to kind of guide to that full year rate.
Michael McGinn: Got it. And just to put a bow on this, can you characterize the length of the incoming blanket POs [ph] from your large national account customers and distributors relative to the length of your lead time -- average lead time?
Ricky Dillon: Two things and then I'll let Jeff talk. We really don't have blanket P&Ls [ph], and so I just want to correct that. But we do have what I will call some forward ordering from our nationals. And relative to how that matches up with our lead time, I think as we've been talking about, so far we've been able to navigate that and deliver. It's on us to do the things that we've been doing in terms of getting out ahead, managing our inventory in anticipation of demand. And thus far we've not had issues meeting any of our customer demands nor as we sit here today, do we have concerns going forward.
Michael McGinn: Got it. I appreciate the time.
Operator: Thank you. At this time, I'd like to turn the floor back over to Mr. Baker for closing comments.
Randy Baker: Great. Thanks very much, operator. So as we wrap up today, clearly, we've had a very good quarter. The business is on very solid ground as we go into our fourth quarter and get prepared for 2022. I'm very proud of the team. I think that we've done a lot to improve the margins in the business to realize our goals at 20%. We've been able to unlock the margin value of this company. And most importantly for me as CEO, we're now at a level that where we can start executing our strategy to the fully -- fullest extent that we had planned pre-pandemic. We now have the margin capability, the cash flow and liquidity. As Rick mentioned, this company is in one of the best positions liquidity wise that we've seen in a long, long time. So our capital allocation strategies are very well within our grasp. And we're able to start moving hard on that. So I can't say enough for the effort from this team. It has been a great time watching this come through this and successfully navigate. Probably one of the most difficult times any company has seen in their history and we've done it successfully. So I just want to thank all of our team worldwide and look forward to the next quarter and continuing on. So, operator, thank you and thank you everybody for joining us today.
Operator: Ladies and gentlemen, thank you for your participation and interest in Enerpac Tool Group's conference. You may disconnect your lines at this time, and have a wonderful day.